Operator: Good morning, and welcome to the United Continental Holdings Earnings Conference Call for the Third Quarter of 2011. My name is Michelle, and I will be your operator for today's call. [Operator Instructions] This call is being recorded and is copyrighted. Please note that no portion of this call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I would now like to turn the presentation over to your hosts today, Ms. Nene Foxhall and Mr. Tyler Reddian. Please go ahead.
Irene E. Foxhall: Thank you, Michelle. Good morning and welcome to the United Continental Holdings third quarter 2011 earnings conference call. Joining us here in Chicago to discuss our results are President and CEO, Jeff Smisek; Executive Vice President and Chief Revenue Officer, Jim Compton; Executive Vice President and CFO, Zane Rowe; and Senior Vice President Finance and Treasurer, Gerry Laderman. Jeff will begin with some overview comments after which, Jim will review capacity and revenue results. Zane will follow with the discussion of our cost structure and the balance sheet. Jeff will make a few closing remarks, and then we will open the call for questions, first from analysts, and then from the media. We would appreciate it if you would limit yourself to 1 question and 1 follow-up. With that, I'll turn it over to Tyler.
Tyler Reddian: Thank you, Nene. Our earnings release and separate investor update were issued this morning and are available on our website at ir.unitedcontinentalholdings.com. Let me point out that information in this morning's earnings press release and investor update and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our press release, Form 10-K and other reports filed with the SEC by United Continental Holdings, United Airlines and Continental Airlines for a more thorough description of these factors. Also during the course of the call, we will be discussing several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy which is available on our website. As with last quarter, we will present our third quarter 2011 result on a combined basis for United Continental Holdings. All prior period results discussed today, including comparisons against prior periods, will be based on unaudited pro forma results for the combined company and include estimates of the impact of the purchase accounting. For additional details, please refer to our investor updates issued during 2011 and the fourth quarter of 2010, which are also available on our website. Unless otherwise noted, as we walk you through the numbers for the quarter, we will be excluding special items, merger-related expenses and/or fuel hedged noncash net mark-to-market gains and losses. These items are detailed in our earnings release. And now, I'd like to turn the call over to Jeff Smisek, President and CEO of United.
Jeffery A. Smisek: Thanks, Tyler and Nene, and good morning and thank you all for joining us. Today, we reported a net income of $773 million for the third quarter or $2 per diluted share, delivering a 7.7% pretax margin for the quarter. We closed the margin between United and Continental Airlines a little over a year ago. We are working together to build the world's leading airline, the airline that our customers want to fly, our co-workers want to work for and investors want to invest in. I'd like to thank all of my coworkers for their hard work over the past year maintaining their focus on delivering clean, safe and reliable air transportation to our customers, while we integrate these 2 great airlines. Despite the challenges of integration, we delivered solid operational and financial performance during the quarter. We accrued an additional $152 million of profit sharing during the quarter for a total of $242 million accrued for profit sharing year-to-date. In addition, during the first 9 months of 2011, we paid $27 million in on-time performance bonuses to coworkers. I look forward to distributing profit-sharing payments on Valentine's Day next year based on our 2011 full year earnings. We improved our balance sheet again this quarter, reducing total debt, including capitalized aircraft operating lease obligations by $469 million. We remained focused on derisking the business and improving the strength of our balance sheet. While we are pleased with the results this quarter, we are mindful of the uncertainties surrounding the global economy. Despite the concerns we all read about, we are not currently seeing a reduction in business demand, as Jim will discuss later in the call. Our third quarter revenue results demonstrate the power of our network and capacity discipline. With PRASM up 10.1% for the quarter. Should we see demand decrease however, we will respond nimbly and appropriately by decreasing capacity and taking cost out to help ensure we remain profitable throughout the business cycle. The capacity reductions we implemented with our September schedule are paying off. We right sized the airline for the expected reduction in fourth quarter leisure demand due to the higher fares we've put in place as fuel prices rose earlier this year. Our current plans for 2012 reflect consensus expectations for sluggish economic growth in 2012 and our goal of generating sustainable and sufficient profitability. We will maintain our 2011 consolidated capacity level again in 2012 for the second year in a row effectively keeping United the same size it was in 2010, and 8% smaller than it would have been on a pro forma basis in 2007. We will continue to optimize our network, reducing our domestic capacity as we retire older, less fuel-efficient aircraft, reconfigure domestic wide-body aircraft for international service and implement Economy Plus on the Continental fleet. United will take delivery of 5 Boeing 787 Dreamliners next year, with the first coming into service in the second half of 2012. As a result, we expect to grow international capacity in 2012, as this game changing aircraft creates new profitable market opportunities. One of the major impediments to creating economic value is the crushing tax burden that the U.S. airline industry faces, with about 20% of the typical ticket price paid in taxes today. And that doesn't even include income taxes. Airlines currently pays 17 different federal aviation taxes and fees in the U.S. totaling $16.5 billion in 2010. Unfortunately, Washington is attempting to make U.S. airlines its piggy bank once again. The U.S. airlines have lost a total of $55 billion over the past 10 years. Now Washington is proposing $35 billion of additional taxes over the next 10 years. We are already taxed more heavily than alcohol, tobacco and firearms. We are taxed as a sin. We are not a sin. We connect people and cultures. We transport cargo. We are drivers of the economy. We bring business and job growth to our hubs and spoke cities. We contribute $1.2 trillion to the U.S. economy each year. If this crushing $35 billion of additional taxes becomes law, we will have no choice but to raise fares, reduce service, eliminate service to some communities and reduce the size of our workforce. Simply put, this tax proposal is a jobs killer. We also face the potential for an additional tax burden in the form of the European Union emissions trading scheme. We are committed to the environment and reducing our fuel burn benefits both our business and the environment. At the new United, we're proud of our combined track record, as we've improved aircraft fuel efficiency by 32% since 1994. The EU emissions trading scheme is an extraterritorial, unilaterally-imposed patchwork tax rather than a unified global solution for aviation emissions. More than 20 countries, including the U.S., China, Russia, India and Japan, have stated their opposition to this tax and reinforced the belief that it violates international law. While these potential taxes and other new challenges threaten our ability to achieve our long-term financial goals, we remained focused on the most significant opportunity currently available to us: completing the integration of our 2 great airlines, and unlocking the full $1 billion to $1.2 billion of annual synergy value. We made progress with our integration again this quarter. We introduced our new loyalty program effective in the 2012 program year. We're very excited about the new program and made a number of changes designed to better differentiate between elite tiers and provide incentives to our customers to earn the great benefits that Mileage Plus offers by engaging in behavior that more directly benefits United. We also introduced our new cobranded credit card, the Explorer card, with our credit card partner Chase, and we are very pleased with the growth of that card to date. Since closing the merger, we have completed co-location at 53 airports and now have a single point of check-in at 75% of the airports we serve worldwide. We have re-branded our hubs in Cleveland, Denver, Houston, Narita, Newark, O'hare and San Francisco. We've also re-branded an additional 30 stations that we serve. We also recently unveiled our combined airport lounge program, the United Club. These are not the only changes you'll see as we continue to improve the products and services that we provide to our customers. We recently announced an investment of more than $550 million in our product onboard our existing aircraft. Soon, we'll be -- soon we will finish installing our flat-bed seats in all our international premium cabinets. We will also improve the in-flight entertainment experience by adding streaming video on our 747 fleet, and rolling out wireless Internet connectivity across our entire mainline fleet. On our domestic fleet, we'll add overhead bin space and refresh the interiors of our Airbus aircraft and completely overhaul the interiors of our popular p.s. transcontinental flights. When we're done with our p.s. fleet, it will be the best transcontinental product in the sky. Of course we're also rolling out Economy Plus across the entire Continental mainline fleet, and we'll be offering the popular Channel 9 air traffic control audio on our Continental aircraft. Our integration progress is moving forward behind the scenes as well. We continue to work closely with the FAA and are on track to achieve our single operating certificate by the end of the year. In fact, in the next month, we'll have more than 90% of the processes and procedures that align the operations of our 2 subsidiaries implemented. We're making good progress towards a single passenger service system by the end of the first quarter next year, and have already begun training our coworkers to prepare them for that system. We're working closely with our labor groups and are making good progress. We already have agreements in place with our Continental subsidiary flight attendants, mechanics and below the wing agents. We're currently in negotiations with our United subsidiary flight attendants, focusing on a few key issues within a tight timeframe in order to try and reach a new agreement by January, to be promptly followed by negotiations for joint collective bargaining agreement. We're also engaged in expedited negotiations with the IBT for our United subsidiary mechanics, and we believe we will have a new contract proposal in the near future, again, to be followed by negotiations for joint collective bargaining agreement. After the recent conclusion of the representation election for our below the wing agents, we're starting negotiations next month with the IAM for a joint agreement for that work group [ph]. The representation process has begun for our above the wing customer service and reservations agents, with the IAM recently filing a request with the National Mediation Board for single-carrier status. Finally, we're making progress with our pilots and are hopeful that with the recent election of a new MAC Chairman at the United subsidiary that we can move the process forward. We are committed to providing our employees with a competitive pay and benefits that they deserve. However, any agreement must be fair to our coworkers and fair to the company. In this uncertain economic environment, I am very certain of one thing: The significant potential of the new United. We are well positioned to create economic value as we work together to create the world's leading airline. With that, I'll turn the call over to Jim and Zane to review the revenue environment and financial results.
Zane Rowe: Thanks, Jeff. I would also like to thank our coworkers for their hard work this quarter. United's third quarter consolidated and mainline passenger unit revenue both increased 10.1% year-over-year, an outstanding performance in the slow growth economy. Regional PRASM improved 9.6% versus the third quarter of 2010. Since closing our merger last year, we have often talked about United's unmatched global network and hub structure. And while we are still early in our network integration efforts, we are seeing the significant value of those assets as we generate revenue and yield premiums relative to the industry. As with prior quarters this year, yield growth and capacity discipline drove United's third quarter revenue results. Consolidated yields were up 10.9% year-over-year in the third quarter. The company reduced third quarter mainline domestic capacity by 2.3% year-over-year and mainline domestic PRASM increased 10.9% versus third quarter 2010. Third quarter mainline international PRASM decreased 9.2%, and yield improved 11.6% versus 2010, with international capacity growing 0.6%. Latin America remains our best-performing international entity this quarter. With unit revenue up 21% driven by a 22% increase in yields compared to last year. South American demand continues to grow at a quick clip, resulting in PRASM and yield increases of nearly 25% this quarter. Trans-Atlantic PRASM increased 7.3% year-over-year in the third quarter with yields up 9.4%. Europe results were notably weaker than those of the emerging trans-Atlantic markets. The Middle East PRASM increasing 15%, and India PRASM increasing 14% year-over-year. Fares in these markets were up considerably, nearly 12% in the Middle East and 16% in India versus third quarter 2010, reinforcing our decision to take advantage of international growth markets. During the quarter, we reduced our trans-Atlantic capacity by 1.6%, reducing and down gauging flights to Europe, which were not generating returns in line with our goals and expectations. Our Pacific network saw a solid yield increases this quarter, with yields up 9.9% and PRASM up 6.5% year-over-year. The Japan market continues to recover from the tragedy last March with PRASM increasing 9.8% in the third quarter. Corporate revenue continued to show a steady improvement. Corporate yields grew solidly, increasing 13% versus third quarter 2010, and increasing nearly 25% versus third quarter 2009. We run our airline with the business customer in mind. We are focused on growing United's relevance and attractiveness to the high-yield business traveler through product investments, improved schedule utility, connectivity options and service to the right markets. In order to generate revenue compensatory with service we provide our customers, we must be disciplined in our capacity and asset deployment. We regularly evaluate the performance of each flight and markets we serve, and reallocate assets if a route is not generating sufficient returns. During 2011, we have appropriately reduced capacity to right size our supply for the expected demand. As a result, PRASM for the first 9 months of 2011 increased 9.7% year-over-year, an excellent result during a period of extremely low U.S. and global GDP growth. We continued to refine our 2011 capacity and further reduced our fourth quarter capacity plans. We now expect fourth quarter mainline capacity to be down about 3.5% and consolidated capacity to be down more than 3% versus 2010, resulting in our expected full year 2011 consolidated capacity to be down nearly 0.5%. As Jeff mentioned, we continually evaluate the demand environment. And based on the information we currently have, we expect the demand environment to remain stable. Accordingly, we expect our full year 2012 consolidated capacity to be essentially flat versus 2011. As we've demonstrated throughout this year, we are prepared to respond with further reductions if the demand environment deteriorates. As we prepare for the migration to a single passenger service system in the first quarter of next year, we have slowed the introduction of new ancillary products and services. As we have concentrated our IT resources on making sure the migration occurs successfully and on-time. Our emphasis on driving ancillary revenue growth has not changed, however, and ancillary revenue this quarter grew by 5% year-over-year. United successively introduced the fee for the second piece of checked baggage into many new geographies during the quarter. United now has the industry's broadest global footprint for this important cost recovery mechanism covering travel between North America and Europe, Israel, the Middle East, India, China, Hong Kong, Korea, Australia and most of South America. Customers continued to show their preference and willingness to pay for extra space in coach, with the revenue from our seat up-sell programs increasing nearly 17% in the third quarter as compared to last year. We look forward to introducing Economy Plus on our subsidiary Continental fleet beginning in the fourth quarter of this year. Third quarter cargo revenue declined 2.4% versus the same period last year. Substantially higher industry cargo capacity, particularly in Asia, as the new industry freighter capacity came online earlier this year somewhat offset the benefit resulting from a 40% increase in fuel surcharges year-over-year. Overall, cargo yields were up 15%, while cargo volumes were down about 15% year-over-year. We continue to generate synergies in line with our expectations and eagerly anticipate our transition to a single passenger service system in the first quarter next year. Once we are on 1 platform, we will be able to better market our products, better service our customers, better sell ancillary products and better flow aircraft throughout our global network. As I mentioned, passenger demand remains good and based on our current outlook, we estimate United's October consolidated PRASM will increase a bit more than 10% year-over-year. This PRASM estimate is preliminary based on the data we have for October thus far. With that, I'll turn the call over to Zane.
Zane Rowe: Thanks, Jim. I'd like to start by recognizing the entire United team for all the effort in helping generate strong third quarter results despite high fuel prices and tepid economic growth. United's consolidated operating expense increased approximately 11% or $886 million year-over-year in the third quarter, primarily as a result of higher fuel prices. Excluding the impact of fuel hedges, fuel costs rose $1 billion year-over-year as fuel prices increased 44%. Consolidated fuel expense, including the benefit of our hedges, increased $843 million year-over-year, a 33% increase. Consolidated unit cost for the third quarter increased 11.7% year-over-year and mainline unit cost increased 11.3%. Our consolidated unit cost, holding fuel rate and profit sharing constant is up only 0.7% despite a nearly 1% decline in capacity year-over-year. Company-wide, we're doing a good job managing cost throughout the year and this is reflected in our quarterly cost performance. During the quarter, we faced some of the same inflationary pressures that we saw in the second quarter primarily in the areas of aircraft maintenance and salaries and related cost. Maintenance cost increased largely due to the escalations in certain engine contracts. Salaries and related costs increased year-over-year from higher wage rates and longevity increases. These were partially offset by reduced management headcount. As Jeff mentioned, our integration efforts and achievements of synergies are progressing well, and we expect to reach our synergy targets for 2011. We accrued an additional $152 million in profit sharing this quarter for a total of $242 million year-to-date. Profit-sharing payout of course, will be based on our full year profitability. Nonoperating expense was $275 million in the quarter, up $46 million year-over-year. Interest expense declined $39 million due to lower overall debt levels. However, this was offset by a $56 million fuel hedge ineffectiveness expense associated with our WTI hedge positions due to the dislocation between WTI and jet fuel. This charge was about $20 million higher than we expected when we provided guidance late last month due to an even further dislocation between WTI and jet fuel towards the end of the quarter. Our third quarter pretax income was $780 million, a 7.7% pretax margin. While this is a seasonally strong quarter for the airline, we are pleased with our performance in light of the weak economic backdrop. For the last 12 months, our pretax margin was nearly 4% and our return on invested capital was 12%. This quarter was another positive step in achieving our long term objective of generating returns in excess of our cost of capital. Moving on to the balance sheet. We ended the third quarter with an unrestricted cash and short-term investment balance of $8.4 billion. Reduced totaled debt this quarter paying $469 million in debt and capital lease obligations, including a $170 million of prepayments. We have reduced our total debt, including capitalized aircraft lease obligations by $2.1 billion year-to-date. During the quarter, we generated $385 million in operating cash flow, and gross capital expenditures were $196 million. As we continue to generate free cash flow, we intend to invest in our business and to strengthen our balance sheet. We expect our fourth quarter consolidated capacity to be down more than 3% year-over-year and we expect our consolidated CASM, excluding fuel and profit sharing, to increase between 1.5% and 2.5% year-over-year. We anticipate our fourth quarter costs will be modestly higher than originally expected, primarily due to a higher year-end liability adjustments related to workers compensation and pilot long term disability, both of which are affected by the decline in treasury rates. Based on the forward curve as of October 20, we expect our consolidated fuel price to be $3.15 per gallon in the fourth quarter, a year-over-year increase of nearly 30%. We've hedged approximately 56% of our expected fourth quarter fuel consumption at an average Gulf Coast jet equivalent of $3.23 per gallon. We've hedged approximately 34% of our expected fuel consumption for the first half of 2012. In the fourth quarter, we expect growth capital expenditures to be about $300 million for a total of just over $900 million for the full year. We're monitoring the economic environment closely, and we're taking a conservative view in our planning for 2012 with essentially flat capacity expected year-over-year. We are prepared to take additional actions, including reducing capacity further should economic conditions warrant it. As we've mentioned previously, a fundamental component of our fleet strategy is incorporating flexibility, allowing us to resize the fleet to best match the demand environment, while continuing to improve fuel efficiency. As we optimize our network, we plan to reduce both domestic capacity and our domestic fleet counts in 2012. We're converting 14 Boeing 767 300 aircraft from the domestic configuration to our international configuration with flat-bed business first seats and Economy Plus. We're also upgrading fuel efficiency of our domestic fleet by taking delivery of 19 new 737-900ER aircraft in 2012. We plan to retire 19 less efficient narrow-body aircraft from the fleet comprised of 14 737-500s and 5 domestic configuration 757-200 aircraft. We're planning modest international capacity growth in 2012 as we take advantage of market opportunities enabled both by the merger and next-generation aircraft technology. In addition to the 767s that we will redeploy internationally, we're expecting to take delivery of 5 787 Dreamliners, which will enter service in the second half of the year. As a result, we expect to retire older less fuel-efficient wide-body aircraft, removing additional 767-200s and a 747 from the fleet. A goal at United is to create economic value over the business cycle. And our performance this quarter highlights our progress. Our team of over 80,000 is working hard to leverage our industry-leading network, our operational reliability, fuel-efficient fleet and investments in our product to become the world's leading airline. With that, I'll turn the call back over to Jeff.
Jeffery A. Smisek: Thanks, Zane. As this quarter's results demonstrate, we're delivering solid financial results while making significant progress integrating our 2 airlines. This is a challenging industry with significant competition and a brutal level of taxation to overcome. That said, we have the right network, the right product and the right people to deliver on the promise of the new United as we work together to create the world's leading airline. I'll now turn it over to Tyler to open up the call for questions.
Tyler Reddian: Thanks, Jeff. First, we'll take questions from the analyst community then will take questions from the media. [Operator Instructions] Operator, please describe the procedure to ask a question.
Operator: [Operator Instructions] Our first question comes from Michael Linenberg from Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Hey, 2 questions, I guess, maybe -- these both, maybe, for Zane. When I look at your CapEx in the guidance versus, I think, the last time we saw it, it looks like it's down about $100 million -- maybe $125 million. Is that -- does that reflect maybe taking delivery of maybe 1 or 2 less 787s next year? What's behind that decline?
Zane Rowe: No, Mike. What -- the only guidance we've given is 2011, and you are correct in that the CapEx has moved down moderately. As we look at the integration and integration expenses and how we spend that money, there's mostly just timing differences there. And we continue to be fairly thorough on how we view CapEx in the company.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay. And then my second question, Zane -- I mean, I really appreciate the fact that you are providing your return on invested capital, I believe, you said 12%. Can you give us a feel for maybe the weighted average cost of capital? Or if we go back, I think, last quarter, you did indicate that the 12% was well in excess of your cost of capital. I guess, I would ask regarding the cost of capital, if you can't give a -- maybe, a range, is the equity piece, is that being calculated based on your book equity? Or is that a function of the market value of your equity?
Zane Rowe: Sure, Mike, it's a good question. When we calculate the return on invested capital, we go back to the more traditional sort of textbook approach to calculating that, which is how you derive the 12%. But if you're asking about the weighted average cost of capital, that's obviously as you highlighted driven by a number of variables. We estimate depending on betas and a number of the inputs, but that number is somewhere between 8% and 9% for us.
Operator: Our next question comes from Kevin Crissey from UBS.
Kevin Crissey - UBS Investment Bank, Research Division: Maybe for Jim. Thanksgiving and Christmas, can you talk about how their booking? Since they have a bit longer booking curve than the other periods, I imagine?
James E. Compton: Yes, Kevin. This is Jim. Right now, we're really comfortable with our holiday bookings. And the comp to [ph] the demand is looking good over the holidays, particularly the peak days, which we’re also revenue managing those days. And in addition, and kind of in line with our capacity discipline strategy, we're taking a lot more aggressive approach on kind of day/week cancellations, particularly in the sub UA network this Thanksgiving versus the past. So looking at the holidays, we feel really comfortable with where we're at.
Kevin Crissey - UBS Investment Bank, Research Division: And if we were to think about the year comparisons, I know there were some storms last year such in December, et cetera. But the comparisons get in December are easier from a RASM prospective? I know the revenue growth isn't as high, but is that the way to think about it? I'm trying to see how the quarter might progress from your 10% on, and I know you don't guide to it but just comp wise.
Jeffery A. Smisek: Yes. You're right. We don't really guide to the revenue performance. I think that if you look at the third quarter in terms of where yields are at and I think we see the environment relatively stable. And so we feel really comfortable with kind of where the fare structure’s at as well as bookings.
Operator: Our next question comes from Gary Chase from Barclays Capital.
Garrett L. Chase - Barclays Capital, Research Division: I wanted to ask a couple on the Atlantic. Couple of your competitors, and if I'm not mistaken, you're alliance partner noted that there was a little bit of softness. I know you said that you haven't seen it yet. I'm wondering if -- what your thoughts are there? And if Jeff's comment about acting nimbly can and does apply in the JV structure, can you respond quickly within that construct?
James E. Compton: Hey, Gary. A couple of points. This is Jim. First of all, on kind of our performance. Our performance has also been tied to the capacity discipline so we made adjustments obviously even in the third quarter. So our RASM performance in the third quarter trans-Atlantic of the 7.3%, I believe, is actually our best year-over-year of the quarter so far this year. And I think that's a function of reflecting, being ahead of the fact that the demand and some of the economic issues in Europe and everything adjust capacity. So that strategy, that nimbleness, as Jeff kind of mentioned in his comments, will go forward. And then the other piece with the JV, the 2 -- both companies, the structure has both network teams very much in communication with each other. And they look at opportunities. They look at the challenges, right? In the past, we've seen things as -- done some day or week cancellation, and by using our partner Lufthansa over Frankfurt, but still served the markets, right? And so been able to do a lot of things like that. That's an example of how the 2 companies have worked together. And so I think the things that you're reading today of the capacity, the 2 network teams are always in contact with each other to try to kind of optimize the JV across the trans-Atlantic.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: And then just other quick clean up. The Middle East and India RASM numbers, you said they were gaining more year-on-year on an absolute basis. So they even close to established Europe right now?
James E. Compton: Are they -- what's that? Are they...
Duane Pfennigwerth - Evercore Partners Inc., Research Division: The absolute performance, instead of the year-on-year -- I mean, are they as profitable?
James E. Compton: Yes. Obviously, there's a length of haul and things like that, but I would say, yes, they're relatively close [ph].
Operator: Our next question comes from Jamie Baker from JP Morgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Might as well keep Jim in the hot seat. I'm curious if corporate demand trends are fairly unified or if any standout at the moment. Obviously, your network tends to occupy Wall Street for lack of better term more than most of your competitors. So I'm principally interested in any trends at the financial services firms.
James E. Compton: Jamie, this is Jim. Yes, I think on the corporate side, we talked about demand being relatively stable. I would say it's directly also related in to our corporate business overall. We talked about that 13% increase in yield. And so we're seeing kind of that stable corporate demand. And as you know, Jamie, the window is relatively close in because of the booking curve of the corporate demand. As I look through kind of the different corporate accounts, I think, on a relative basis, there is more of softness in the financial services and so forth relative to -- for instance, the pharmaceuticals, which we have a terrific presence over on the Jersey side and so forth, as well as the oil industry and some of the consulting. On a relative basis, yes, I think there -- we can obviously see some of the softness in the financial service.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: And as a follow-up to that, Delta's given some examples of where their unified network is attracting corporate share that they otherwise couldn't target pre-merger. Your network integration is obviously not as mature, but some of that share capture is just going to be natural as opposed to marching in and signing up new contracts. I'm wondering what inning you would say that you're in, in terms of capturing your fair share of the corporate wallet. Is the shift just beginning? Is it close to ending? Or kind of somewhere in between?
James E. Compton: Yes, I think the team is really on kind of a good timeline. We're in the first phase of really explaining the value to our corporate partners of this new network. And so I think we are seeing some of the initial things that -- Jamie you referred to kind of a natural as you bring these networks together generating corporate share. But we're actually very early on to it and we're getting really good feedback as the corporate team is working with the -- talking about the value. For instance, in New York -- it's more about the local market for us in New York, having the only connecting hub in the New York area. So I'd like to think we always have a seat for our high yield passenger. The RNP manages that. And so we have that high-yield connecting in New York as well as the local. And so the network, the integration brings a lot of that to the table. So we feel pretty good about where we're at.
Operator: Our next question comes from Bill Greene from Morgan Stanley.
William J. Greene - Morgan Stanley, Research Division: Zane, will -- should we be thinking about -- as we're modeling out 2012, will there be a timing mismatch between when some of the costs changed? Whether you can start to get synergies? Or you've got to start to pay labor more versus when you kind of get the productivity from that? Is there going to be sort of lumpiness that we should be thinking through?
Zane Rowe: It depends on how you're looking at that but on a gross basis, I think, we're expecting moderate improvements and have actually, I think, taken a good first step this year and obviously, we expect further improvements next year. On the labor side, we don't typically get into what we're accruing for or what we're not accruing for. So a lot of that is just based on our sort of gap assumptions at any point in time. So I guess from your perspective depending on how you're modeling it, you may see some lumpiness just on the expense side.
William J. Greene - Morgan Stanley, Research Division: Okay. And then, Jim, the Pacific, have we fully recovered now sort of post-earthquake in that region? Or is there sort of more catch-up to go?
James E. Compton: Hey, Bill. Yes, this is Jim. I think there's still -- it's performing -- I mean, recovering really well, but there's still more progress to be made on that from the tragedy. And -- but we see kind of the industry where the Japan point-of-sale versus the U.S. point-of-sale is probably recovering quicker than the U.S. point-of-sale. But both are improving and making its way back towards pre-earthquake level.
William J. Greene - Morgan Stanley, Research Division: Are we materially below where we were running? Or is it not that big anymore?
James E. Compton: Not materially below. No, not at all.
Operator: Our next question comes from Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just taking a step back, as you look at these revenue results. Revenue up, call it 9%, in the third quarter on GDP of 2.5%. This feels well above long run trends. So I'm just wondering how do you typically think about that relationship as we start to think about next year?
James E. Compton: Yes, Duane, it's Jim, a couple of thoughts on that. I think that -- I think we're very pleased with our revenue performance given the kind of the weak economic environment. And so if you went back historically, that is actually different than what we've seen historically kind of where you would be in the recovery at GDP growth. Even up 2.5% is relatively soft post of -- where you would be in the recovery. So again, I think our capacity discipline, as well as the industry discipline, what we've seen, I think, we've done a good job of not -- the traffic that we're missing is the low yield price-sensitive traffic and we're doing a good job of not diluting the higher-end traffic. And I think the capacity discipline has allowed us to do that. And I think that's probably the biggest difference in terms of [ph] breaking that GDP versus revenue growth that you mention.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay, I appreciate that perspective. And then just to follow-up on the Pacific. Load's down but maybe not down as much as the last update. Wondering if you could give us sort of any qualitative yield commentary on that advanced book load? And if you sort of had to rank your regions right now, which would be weakest?
James E. Compton: Well, yes, I'll point to the -- from a book in the investor update in the Pacific. I think, we're talking about 4 points, 12 points [ph] of book load factor down. In that market, we have some new competition in Chicago, Hong Kong that's driving some of that load factor difference. I'll tell you that we're pleased with where our premium bookings are at. And that some of the softness is more on the leisure side, which gets back to my earlier comment on that. The other thing is that the RM team is revenue managing towards that to a certain extent also and just to -- again, preventing the dilution on the high-yield side. And so we're comfortable with where that book load factor is. So a combination of some new competition, revenue managing it, but we're actually feel pretty good about where it's at.
Operator: Hunter Keay is online with a question from Wolfe Trahan.
Hunter K. Keay - Wolfe Trahan & Co.: Jim, what were some of the lessons learned with 1 year under your belt with A++. There are obviously a few true-ups that happened each and every quarter this year. And I think, it’s obviously taking a little more time to school also [ph] and I think, some people, including myself, thought it was going to take. So what were some of the key lessons learned? Should we expect sort of a disproportionate outperformance next year, particularly as Lufthansa implements their own RM system? Anything like that? Any color there?
James E. Compton: I think the lessons learned are -- there's a familiarity that's building within the JV both from understanding each other's systems, as well as people, whether it's from a -- making sure that the right price products are out there for our customers and they're consistent, as well as communicating back and forth what each airline is optimizing with their different RM system. And then the network group, which from the beginning has been working closely with each other, there's that familiarity. And so I think as we'd think about that, we feel that there's a lot of benefits to build on as we build that relationship going forward. And I think you're seeing some of the capacity discipline that you're seeing both carriers -- all the carriers in the JV showing right now, it's kind of a result of that. So I think the lesson learned is that we'll be more nimble, quicker to react based on getting to know each other.
Hunter K. Keay - Wolfe Trahan & Co.: Okay. And maybe another 1 for Jim, and then Jeff too, if you want to chime out on this. Back to ETS, obviously, your bolder [ph] goal, I think in your policy, illegal issues aside on this, is it possible that ETS is forcing capacity discipline on this industry? Is it factoring in to your A++ planning? Has it already come into the conversation when you're planning for trans-Atlantic capacity for 2012? And is it possible that this could actually be a net positive for the P&L simply because it's keeping a lot of irrational -- otherwise, irrational competitors from growing into your markets?
Jeffery A. Smisek: Well, it's a curious thesis, Hunter, but one I don't subscribe to. I think that it's like any other tax, right? And then it will size carriers because it's like any other tax. But it isn't sizing for example, through matching capacity demand and being able to appropriately price the product because the price that we have to put in for the tax, of course, we don't receive any component of it. And therefore, it's not the same as a price increase in response to a market demand, et cetera. So in terms of where it impacts the JV, I'd leave that up to -- Jim probably could give you more color. But clearly, Lufthansa has more exposure within Europe, obviously, than we do. But it's -- I think it's a net negative for the industry and it's a particularly difficult thing because it is truly is the beginning -- could be the beginning of a crazy, “patchwork of regulation and taxation” to try to remedy issues with a mobile and global emissions source such as the airlines and that's clearly much better handled by [indiscernible].
Operator: Our next question comes from Glenn Engel from Bank of America.
Glenn D. Engel - BofA Merrill Lynch, Research Division: You've talked about putting all coach plus in to the Continental side and it sounds like you're also going to be taking seats out of the 767 as you shift them to international flights. What does that do to overall capacity, the reduction of seats?
James E. Compton: Well, obviously, the Economy Plus will contribute to -- we're talking about consolidated capacity going forward being flat in 2012. Being down domestically and up in internationally, Glenn. So, obviously, the economy plus affects that...
Glenn D. Engel - BofA Merrill Lynch, Research Division: So is this a 1% hit that you offset by growth? Or is it even less than that or more?
Zane Rowe: It's about -- it's less than 1%, probably about between 0.5% and 1%. And again, we're working through, obviously, through with our tech ops group on the schedule and it's how quickly we roll it out in 2012. But less than 1%, I think, will be the impact on 2012.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And which categories are the best opportunities on the cost side for 2012 to offset the normal inflation that you have?
Zane Rowe: Glenn, this is Zane. We're in the middle of our budget session. So just for all the people at United listening, all categories are good opportunities for improvement. Honestly, Glenn, as we balance between the integration opportunities here, as well as just the normal budgets, we're going really line by line and seeing where we can be more efficient, learn from both subsidiaries and build that into the plan and we're in the middle of that process right now.
Operator: Our next question comes from Jeff Kauffman from Sterne Agee.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: I'm just wondering if you could talk a little bit about discussions you're having with your corporate travel customers, the RFPs are out there. People are fixing their own capital budgets for travel next year. What industries -- or if you segment it this way, are you seeing some of the strongest RFP activity? Where have you seen a little bit of weakness? And I guess you said leisure was a little bit weak but corporate has been okay. Could you just give us a little bit more granularity on the discussions you're having in those markets?
James E. Compton: Hey, Jeff, this is Jim. We have, obviously, been working with our corporate partners in the last month or so for a lack of better word surveying them. And the feedback we're getting ties to that kind of that stable environment for the majority of them. That being said, you're right. They are focused on their 2012 budget. And so -- but I think right now, it's very consistent with what we're seeing in the demand that majority are kind of planning on spending being relatively kind of like 2011 to up slightly, I think, if you kind of -- you get different things all over. And as I mentioned financial services, you get back into what we saw in 2008. Again not the majority but few of them will talk about possibly looking at their travel policies, which really doesn't involve us but it might be folks planning in advance and things like that. So those are the things we watch as Jeff mentioned in his comments that we’ll watch the demand and adjust capacity, but what we want to do is always being kind of dialogue with our corporates so that we can stay on top of it. But right now, we see kind of stable anticipation for 2012.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: Okay. You singled out financial services, and I think we read the headlines and understand what's going on there. Are there other industries that weren't really consumers of corporate travel last year that you think are in a stronger position to contribute next year?
James E. Compton: It's hard -- the way we look at corporate travel, quite frankly, when we work with our partners is it's less about a deal and it's more about the quality of the deal. And so -- there's nobody that singles out in and what we're trying to do is, again, show the value of this new network that we have and the value we bring with that and have the discussion around that and what they're needs are. And I think overall, that kind of across the industries, we're seeing a kind of a general same feeling about the uncertainty of the economy and so forth, playing as to how they think about that.
Operator: Thank you, ladies and gentlemen. This concludes the analyst and investor portion of our call today. We will now take calls from the media. [Operator Instructions] Our next question comes from Josh Freed from the Associated Press.
Joshua Freed - The Associated Press: Just a quick question on the 747. I saw that in the release this morning that there's 5, I guess, that are nonoperating right now. And it sounds like 1 more coming out next year. Is that taking you -- could you say a little bit more of the future of that airplane with your fleet? And are those reductions related to the Japan situation? Or is there's something else driving that?
Jeffery A. Smisek: Hey, Josh, this is Jeff. Look, the 747 has been a good aircraft over the years for United. However, it is a fairly fuel inefficient aircraft. Now overtime, we would like to replace it with more modern technology and we intend to do so. We don't have an aircraft that we can replace it with right now. And for example, we are putting streaming video in the economy section of that airplane to improve the inflight entertainment experience for our customers today. But in the long run, we will be retiring that aircraft from our fleet.
Joshua Freed - The Associated Press: Can you give us an idea of how long the long run is?
Jeffery A. Smisek: It will take many years because we don't have anything to replace it with currently. We've got A350s on order that we begin to take in 2016. So it'll take at least to be in the course. That's just the beginning as we undertake those aircraft. So it will be over the course of this decade as we put those aircraft down and take replacements.
Joshua Freed - The Associated Press: All right. And in the short run, is any of that related to Japan demand? Or is that a nonissue for that plane?
Jeffery A. Smisek: No, it's not related to Japan demand.
Operator: Our next question comes from Mary Jane Credeur from the Bloomberg News.
Mary Jane Credeur - Bloomberg News: Speaking of aircraft, can you guys give us an update on when you plan to make a decision on a narrow-body order? And should we look for that before year-end? Or is that more likely in 2012 thing?
Jeffery A. Smisek: Well, Mary Jane, this is Jeff. As you know, Continental had a and has a good aircraft order for its network and United has some airplanes as well on order. But neither carrier really had the right order for the combined network. And as we continue with refreshing the fleet and bringing in modern and fuel-efficient airplanes as we continue to invest in the product, we are going to need some additional mainline aircraft. That's something that we're visiting on right now. And when we're ready to announce something, we will announce it.
Mary Jane Credeur - Bloomberg News: And a quick follow-up, we saw your friends in Atlanta scale back their narrow order and went with just a 100 mainline jets. It was a little more conservative than their initial plan of maybe as many as 200, including some smaller -- a smaller jets. What's your bias as you think about that order and approach it? Are you viewing it as a more of a bullish large long-term thing? Or should we be thinking in terms of something more conservative?
Jeffery A. Smisek: Well, what we're looking at -- one of the things we're looking at basically, is just the fuel efficiency of modern aircraft, maintenance reliability, dispatch reliability, customer-pleasing attributes, et cetera. So it isn't so much a bet on growth as much as it is. We have a lot of older aircraft coming off leisure, off finance that are not fuel-efficient that we do want to replace. And we'll also obviously model out where we think the number of aircraft that we will need over the long run and -- but we're not really in a position to discuss that publicly yet.
Operator: At this time, I'm showing no further questions. I would now turn the call over to Ms. Nene Foxhall for any final remarks.
Irene E. Foxhall: Thank you. Thanks to everyone on the call for joining us today. Please call media relations if you have any further questions and we’ll look forward to talking to you next quarter. Goodbye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.